Operator: Good morning, and welcome to the 2021 First Quarter Earnings Conference Call hosted by BNY Mellon. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference call and webcast will be recorded and will consist of copyrighted material. You may not record or rebroadcast these materials without BNY Mellon’s consent. I will now turn the call over to Magda Palczynska, BNY Mellon Investor Relations. Please go ahead.
Magda Palczynska: Good morning. Welcome to BNY Mellon’s First Quarter 2020 Earnings Conference Call. Today, we will reference our financial highlights presentation available on the Investor Relations page of our website at bnymellon.com. Todd Gibbons, BNY Mellon’s CEO will lead the call. Then, Emily Portney, our CFO, will take you through our earnings presentation. Following Emily's prepared remarks, there will be a Q&A session. Before we begin, please note that our remarks include forward-looking statements and non-GAAP measures. Information about these statements and non-GAAP measures are available in the earnings press release, financial supplement and financial highlights presentation, all available on the Investor Relations page of our website. Forward-looking statements made on this call speak only as of today, April 16, 2021, and will not be updated. With that, I will hand over to Todd.
Thomas Gibbons: Thank you, Magda, and good morning, everyone. I will touch on a few financial performance highlights and some other business developments and hand it over to Emily to review the results in more detail. But first, I wanted to spend a minute discussing the environment in which we're all operating.  As I reflect on the past year, the word that keeps coming to mind for me is resilience. Resilience of our business model, our global financial infrastructure, and of course, our clients and our employees. Indeed, we saw the resilience of the financial system itself. These are the lessons learned from the previous financial crisis and to the quick and decisive action of governments and regulators. And now we're moving from a period of resilience to a period that we're all optimistic will be one of recovery and growth. While we all remain clear eyed about the challenges that still exist, I'm one of many business leaders who see many reasons to be positive in the period ahead when we move past the COVID cloud. The optimism stems from the confluence of several factors, including the deployment of the vaccine, potential strength from consumers. Now in the U.S., households have been saving at extraordinary levels. Currently, the savings rate is running about 14% and that's more than twice the 30-year average. The amount and held in cash and household and available for spending is around 15% of GDP, which is way above normal fund. In addition, monetary stimulus and further U.S. government spending plans are likely to accelerate GDP growth. So we expect significant GDP growth going forward assuming the pandemic is managed as expected, a strong economy is likely to keep activity and assets level high and expectations for stronger growth is beginning to be reflected in the steepening yield curve.
Emily Portney: Thank you, Todd. And good morning, everyone. I will walk you through the details of our results for the quarter. All comparisons will be on a year-over-year basis unless I specify otherwise.  Beginning on Page 3 of the financial highlights document. In the first quarter of 2021, we reported revenue of $3.9 billion and EPS of $0.97. This includes the impact of the reserve release of about $0.08 per share, partially offset by $39 million renewable energy investment impairments of about $0.04 per share.  Revenue was down 5% and EPS was down 8%. As expected, results were negatively impacted by continued low interest rates and associated money market fee waivers and the absence of share repurchase activities for most of 2020.  Fee revenue excluding fee waivers grew 6%, driven by market levels, good organic growth and the positive impact of the weaker U.S. dollar. While client activity was down slightly versus the exceptional COVID-driven volumes and balances experienced year ago, it was stronger than we had anticipated. As a reminder, last quarter, we got into about 1.5% organic growth for the year and this quarter organic growth of greater than 2%. 
Operator: Of course, thank you.  And our first question comes from the line of Brennan Hawken with UBS. Please go ahead.
Brennan Hawken: Good morning. Thanks for taking my question. I was hoping to ask actually, Emily, about some of those comments on capital and Fed, returning to the SCB approach, in the capital returns. The Tier 1 leverage ratio now inside your guided band, with the buffer of 5.5 to 6 I believe. You all have referenced that you have levers to pull, which might help on that front? So could you maybe walk us through some of those dynamics? And then also, how rigid is that buffer that you've applied? It seems to be a bit above peers. And so, would you -- are you in a position where you could allow yourself to go underneath that buffer for a period of time given the unusual growth in the past?
Emily Portney: Sure. Thanks for the question. So we are very – managing our deposits very closely. Having said that, we will absolutely continue to support our clients with our balance sheet. And we're comfortable with where deposits are now. But of course, it goes without saying that, over the course of the last 12 months, there have been a lot of additional reserves in the system, liquidity in the system. And so, we've seen a surge in those deposits. A large portion of that search is excess, so it's non-operational. We've been very successfully working with our clients to basically explore and move some of those non-operational deposits to off-balance sheet vehicles. Thankfully, we have a good platform and liquidity direct to that has lots of alternatives. It's an open platform.  So that has been very effective. You are correct in pointing out, as I did mention in my prepared remarks, that given the unprecedented liquidity in the system, we would feel comfortable dipping into our chairman leverage buffer. We do hold a very significant buffer in excess of 150 basis points over Reg minimums. We size that very carefully.  It's basically to both absorb any impact to OCI, given rate changes, as well as also the – any surge in balances. And given that's really what we've seen, and the buffer is really there for this particular kind of unprecedented environment. Ultimately, we would feel comfortable dipping below the 5.5% for a period of time, of course, running certainly above the regulatory minimum.
Brennan Hawken: Right. Okay. That helps. That's a great to hear. And then one other question on the balance sheet. It seemed as though the interest-bearing asset growth lagged deposit growth this quarter on an average basis just looking at the off-balance sheet. Was that because some of those deposits may be temporary? Maybe you all were in the process of encouraging some folks to consider off-balance sheet options that you referenced? And therefore, when we gauge balance sheet growth here this quarter, we should more pay attention. Which one should we pay attention to more? Which one is more effective? Is it the interest-bearing asset growth or is it deposit growth? And or is it just that you'll be putting more money to work and therefore the interest-bearing asset growth will catch up? I just wondered, it seemed a big gap. So I wasn't sure about that. Thank you. 
Emily Portney: Yeah. I mean, - sure. So, certainly, and I think I just mentioned, a significant portion of the deposit growth that we've seen, we do think is excess and so non-operational. So it's very hard to really redeploy that into the securities portfolio or the loan portfolio for any real duration. So as a result, a lot of that is just sitting at the Fed earning 10 basis points, which obviously is dilutive to NIM, but of course, it is overall accretive to NIR just obviously marginally so.  So when we think about just NIR in general, we really just use the forward curve to project. And despite, of course, the steepening of the long end of the curve, we did see the short end grind lower. And also the duration of the curb where we invest is, is more in the two to five-year mark and that didn't go up as much as the long end. But of course, to the extent the curve does continue to steepen and/or shift upwards, that will be extraordinarily helpful.
Brennan Hawken: Thanks for the color.
Operator: And we'll take our next question from the line of Brian Bedell with Deutsche Bank. Please go ahead.
Brian Bedell: Great. Thanks. Good morning, folks. Can you hear me?
Thomas Gibbons: Yes, Brian. We can hear you.
Brian Bedell: Great to hear you. Thanks. Just one more on the rate sensitive and net interest revenue and fee waivers is down just the cadence as we move through the year, really into the second quarter. And back a little bit to that deposit strategy with the excess deposits, is there an ability to put a little bit more in the securities portfolio, as we move into the second quarter? So what I'm trying to get at is, are we – given your full-year guidance or are we at sort of stability, as you see it coming into the second quarter on NIR, is it – maybe it depend before we go up?  And then similar to that on the fee waivers, I think, you said $220 million for the second quarter, but then I'm not sure if I got this correct, that you thought that was going to include in the back half and that was based on balances. Can you clarify that?
Thomas Gibbons: Emily?
Emily Portney: Sure. So in terms of NIR, we don't really give ultimately quarter-by-quarter balances and so much of it is dependent upon -- or quarter-by-quarter projections and so much of it is dependent upon obviously the rate curve deposit levels, and as prepayment and other factors, all of which are baked into our projections. And what I would say as I just reconfirmed is that our full-year projection for NIR is still the same as the original guidance given which is 11% or 12% down year-on-year. So that hasn't changed fully. In terms of waivers. So waivers are a function of two things. Basically, short term rates, so that's specifically three months and six months to those as well as repo rates, also a function of money market funds balances. And actually, what we saw this quarter is actually both rates grind lower, balances go higher. As a result, waivers overall were a bit higher than originally anticipated at $188 million. They were -- that the total impact however was slightly positive to revenues.  And again, just reuse the forward curve to also project waivers. Looking at the forward curve, also the historical relationship between rates and money market balances, et cetera, we think that waivers -- the size of waivers overall will peak in the second quarter at about $220 million. And then -- and by the way, that would be probably at the fees we're talking about that most CEOs are talking about probably slightly negative to revenues. But then we would expect the second-half of the year to be more in line with the first quarter.  And look, I always like to remind people, albeit it's probably not till 2020 -- the latter half of 2022 or 2023. But if – when Fed funds eventually hit 2025, when the Fed moves, we will recover in excess of 50% of those waivers and hit 1%. It's very close to 100% of those waivers.
Brian Bedell: Definitely. That's a good color. And then the second question is on organic growth, you said it could pick up to 2% this quarter. Maybe could you just talk about the drivers of that? And Todd, you mentioned you have very good demand for data analytics with the Data Vault. Sounds like a contract not in -- at the beginning you mentioned is not in the run-rate yet. But maybe if you could just talk about that momentum in the organic growth rate and drivers of that.
Thomas Gibbons: Sure. So thanks for the question, Brian. So the first quarter, we got the benefit obviously a lot of activity. Hard to project exactly where that activity is going to go. But the guidance, I think that Emily provided to you, is probably not sustainable at this level. But we did get some nice movement which is -- which really is reflected in that. Pershing volumes were particularly high, very good flows and a number of their accounts. So we're seeing a lot of good growth with existing clients as well with balances there.  We do expect them as I said, to moderate somewhat. And I also did point out that on the previous call that we had some lost business in purging that'll impact us later this year. So purging is got pretty strong underlying organic growth to it, but it's going to be masked a bit by both the interest rates as well as that lost business that will impact in the second half. But we are seeing sustained momentum across just about all of our businesses, strong pipelines.  And so as we've taken that as converted the pipeline to sales, we continue to build the pipeline. We have another pretty big quarter for sales, a higher win-loss ratio -- with our win loss ratios are improving, and retention has continued to be to be good.  I mentioned, the Data Vault and we have a number of clients in Data. We've now signed a very significant one and building deeper relationships with that client. A lot of interest in our -- some of our analytics and applications that we've described to before. We're actually seeing recovery and payment flows. So it's Treasury Services, which is largely commercial payments. A lot of its global. We're seeing good recovery back on economic recovery.  And we're also picking up some market share. We've got some pretty interesting opportunities there. As we look forward, we're pretty excited what we might be able to do in the real time payments space.  Asset Wealth Management had positive flows. We're seeing meaningful improvement in wealth. And we've been talking about the investments that we're making across the businesses, both in -- even in the core custody, our middle office functions, the payment system. Clearing and collateral management. It was off of an extraordinary good quarter last year. But we continue to pick up global assets. The fact that we built up this Bond Connect capability and China's is an exciting, innovative service that we're providing to clients. And we're confident that that's going to continue to grow. So, good underlying momentum helped by very strong activity in the first quarter.
Brian Bedell: That's great. All right. Thank you.
Thomas Gibbons: Thanks, Brian.
Operator: Our next question that comes from the line of Betsy Graseck with Morgan Stanley. Please go ahead.
Betsy Graseck: Hi, good morning. 
Thomas Gibbons: Hi, Betsy.
Emily Portney: Good morning.
Betsy Graseck: Okay. A couple of questions, a little bit on the technical side on the build out that you're doing around the digital assets, the cryptocurrencies and that kind of thing. Could you remind us the kind of pace that you're anticipating being able to roll this out? And are you going to be -- are you going to be custodying the physicals? Just wanted to understand what the -- how wide the aperture is on this opportunity side? 
Thomas Gibbons: Okay. Sure, Betsy. I'll take it. It's Todd. So when we talk about our digital asset efforts, what we're talking about is digitizing traditional securities so that they're more easily mobilized. Things like you can digitize them, you can digitize the money market fund and make it an eligible asset to put into repo, which couldn't do in the past and we can make it much, much more efficient.  We think there's going to be quite a bit of that activity, as well as smart contracts and what that might be able to do for the corporate trust and other businesses. So that's one element of it.  The other thing that we're going to see is we think there'll be digitization of currencies. We're already involved in a consortium with the finality, which is a central bank currency, which could trade 24/7 in digital form, and is really just developing regulatory approvals for it now. So we do think there'll be -- and there are already existing digital currencies, fiat currencies. And wherever it is the thing that gets the highest is really around the cryptocurrencies, but we will be digitizing them -- and excuse me, we would be customizing those as well.  So we have been working on a prototype, and we expect to be offering capabilities across all three of those by the end of the year, as we're building things out with clients that have shown institutional interest. So yes, we would actually have the wallet if you will, or that be the custodian for the underlying cryptocurrency or any one of those particular digitized assets. 
Betsy Graseck: Okay. So you would actually be custodying the physicals, you're not going to be sub-custodying that out somebody else?
Thomas Gibbons: That is not our intent at this point.
Betsy Graseck: And then, what's the timeframe for getting to market? Is that a 2021 or '22 timeframe?
Thomas Gibbons: We expect that you'll be hearing some things out -- towards the end of 2021. But it may be a little bit earlier for some elements of it.
Betsy Graseck: Okay. And then the other thing I want to just touch base on was around the climate comment that you had in your prepared remarks, Todd. I mean, part of it is asking the question, what can you do? Is this about your own footprint? Or is this also about working with your clients? And if it's working with your clients, how do you anticipate you will help them get more climate-friendly so to speak?
Thomas Gibbons: Yeah. So there's really two elements to it, Betsy. One is what we're doing as an enterprise, our own carbon footprint, for example. And we've been very active. We published recently -- in February, we published a Considering Climate at BNY Mellon report, which gave very specific examples of what we've done around carbon waste, and other environmental-related activities. And we are carbon-neutral.  We have them for an extended period of time. And we've been named as by the CDP, really is one of five financial institutions that have been given an A-rating on climate. And we've been -- we're the only financial institution that have gotten that rating over the past eight-years. So that's what we're doing as a firm and managing paper and carbon footprint.  In terms of what we're also doing is we're providing services to clients. For example, we're the largest trustee on Green bonds. And we can certainly help clients establish the trustee function that goes along with that. But in addition, in the asset servicing space, one of the things that have come out of our data and analytics capability is a very interesting application on ESG and allowing our clients to customize reviews of their own portfolios. And we use a cloud-sourcing techniques that you need. And we offer a cloud-based solution.  The client basically brings the license from what data providers. We are connected to 100 data providers. We got 2.5 million securities in that application. And then there's kind of a constant feedback loop to the to the data providers so they're constantly enhancing the amount of information that they might have on a particular security.  So we're excited about that. We have quite a few clients on it now. And we're just contracting them as for permanent usage.  And in addition to that, in our Investment Management space, we're building quite a few ESG products. And in the servicing space, we know we were just awarded an attractive ETF that was based on ESG. So it's really goes in those two forms. One is the commercial element that we can help our businesses. The number two is just doing the right thing for our own company.
Betsy Graseck: Okay, thank you. Appreciate that color.
Thomas Gibbons: Thanks, Betsy.
Operator: Our next question comes from the line of Alex Blostein with Goldman Sachs. Please go ahead.
Alex Blostein: Hey, good morning, Todd and Emily. Hope you guys are doing well. Maybe another question around capital. So I heard you guys, obviously targeting over 100% payout, that's something that you guys have targeted for a little while as well. Can you help us kind of calibrate that against the significant buyback you have authorized currently?  Obviously, there'll be some probably technical restrictions that you could ultimately get done in the third quarter given just the volume threshold. But maybe help us think through that relative to your comments and willingness to kind of go below the 5.5% Tier 1 leverage. So just kind of trying to think through how much you could ultimately get done.
Emily Portney: Sure. So, ultimately, you are correct in mentioning that we had approval. I just want to remind folks, the Board approval was given in the fourth quarter of last year to do buybacks up to $4.4 billion through the third quarter of this year. Given the Fed's limitations on buybacks actually through the second quarter, it's probably going to be pretty unlikely that we could execute the entirety of the $4.4 billion just literally in terms of ADB et cetera. But we will do as much as we are allowed.  And assuming that the Fed does return to or implemented I should say, the SCB framework, which does allow for much more flexibility, we wouldn't tend to certainly execute in excess of 100% of return -- I should say, in excess of 100% of earnings in the third quarter, as much as we could do. And anything that we couldn't do, we would hope to catch up in the fourth quarter in that program.
Alex Blostein: Got it. That's helpful. And then maybe we can unpack some of the NIR dynamics a little bit more. So two questions there. I guess one, deposit clause, I think we're roughly flattish I guess the question really just in terms of what you guys are targeting. Is there room for that to grind a little bit lower as you're trying to optimize the balance sheet, or there's not a whole lot you guys can do in terms of pushing pricing on deposits to clients?  And then I wanted to clarify your comments around premium amortization. I don't know if I missed it, but what was it in the quarter and your full year NIR guidance, what does it assume for premium am for the rest of the year?
Emily Portney: Sure. So just talking about first deposit. You are right, that the deposit rates are relatively flat. And remember, that's an average across to non-U.S. dollar as well as U.S. dollar. We are charging in -- for example, euros and for Japanese yen. We're not of course charging for the in the US.  I mean, look, there -- I don't know if this is the trough, but this is probably pretty much close to ultimately I guess the rate that we get to. Of course, if rates actually went negative in the U.S., we could start charging for deposits. We certainly don't feel or unhappy about that that is necessary. And ironically, if you if you do start charging for deposits, then you start to earn money, earn more in NIR. So, but that isn't the intention at the moment. In terms of your --
Thomas Gibbons: Let me just ask something to that. So I think maybe on the Fed guidance, Alex, that they've provided. They really have talked about that being mean to them to limit any possibility of negative rates for any sustainable time. And we've seen repo rates go negative a little bit. So we do think that there are probably policy actions if that were to dip down.  But as we go through the -- as we scrub through the nature of the deposits that we've gotten, and obviously very limited value to them. Now we've got to hold capital against them. We are we winding them down, but there's not a whole lot more to grind down.
Alex Blostein: Yep. 
Thomas Gibbons: And then certainly, Emily second one?
Emily Portney: Sure. On the MBS prepayments space, just in our NIR projections, we've already taken into account a trajectory of MBS prepayment slowing down just based upon the rising in rates. So just to think about it in terms of sizing, we would expect the MBS prepayment speeds to slow down by about probably 15% to 20% by year-end.
Alex Blostein: Great. Thank you very much.
Thomas Gibbons: Thanks, Alex.
Operator: Our next question comes from the line of Mike Mayo with Wells Fargo Securities. Please go ahead.
Mike Mayo: Hi. You had some good fee growth in servicing that you talked about through the volumes that should moderate. Is that kind of expectations around purging? And what are you seeing purging or retail behavior? You have a window into that world like that?
Thomas Gibbons: Yeah, Mike. I'll take that. So it's a -- I think it's a combination of things. So we've seen a lot of activity in the trading space. We've seen a -- we have seen retail activity that was very high as you know. And purging does see some of that. But it's been in the institutional side as well as the retail side. And we would expect that to subside somewhat from the elevated levels that we saw in the first quarter. But what's interesting is the institutional business is probably a little more active in March, and the retail business was probably a little more active in January and February.
Mike Mayo: Okay. So you're seeing a slowdown in retail trading as the quarter went on? I mean, as people return back to work, do you think they trade less or anything related to that?
Thomas Gibbons: We think their supervisors keep an eye on what they're doing at their desks a little bit more? I'm not sure I agree that. But it's very hard to say, Mike, because what you got to remember is there is a massive amount of cash sloshing around the system. And it's got to go somewhere. One of the things that I pointed out the savings rate doubled with the national average. We've got 15% -- and households are holding 15% of GDP in cash. They're either going to spend it investment or just let it lose value sitting in cash. So our guess is that we're probably going to see lower activity, but it's -- my guess is as good as yours.
Mike Mayo: Okay. And then, just one last question on the fee waivers. Your customers must love you. I mean, can this is -- I mean, this is $220 million fee waivers in the second quarter coming up. I mean, hopefully, you're building long-term goodwill, but shareholders don't benefit from that. So I mean, certainly not going to charge for deposits, or any other options there or just you just have to  it and hope you get long-term goodwill.
Thomas Gibbons: Let me start Emily and you can follow up on it. So, a lot of the excess balances is ending up in cash or even ending up in money market funds. So we considered -- we continue to see this cash build. So even though it's $220 million of fee waivers, it's awesome. A lot of that's just driven by excess balances that we don't think are going to be there when interest rates recover. Just like we think the excess reserves in the system will obviously can contract.  That being said, we do think it provides a lot of upside when the market turns around which we've reflected in the last time we went through this cycle. And we can earn a little bit on it still. And a little bit of good news is that the Fed speak recently has been pointing to the possibility to firm things up on the short end of the curve. And we've actually seen the forward rates kind of improved a little bit recently.  So we're making the assumption that using the forward curve from a few days ago, when we gave that guidance that fee waivers will be acted by like they did during the first quarter. That being said it is a significant hit to earnings. We think we'll recover it. We still ran a 29% operating margin, even with that environment. And the other thing that we've done is between NIR and fee waivers, we think we are now at or very close to the trough. And it could obviously worsen with interest rates even got a little bit lower. But we think we are close to the trough. And so the business model is now going to start to grow off of this level.
Mike Mayo: Great. Thank you.
Emily Portney: Mike, the only thing I just want to add to that is, just remember that a large portion of those waivers are really just funds that we distribute. So it's where the kind of the recipient of just lower fees versus competitive waivers that we're actually offering in Asset Management.
Mike Mayo: Great, thank you for that.
Operator: And our next question that comes from the line of Ken Usdin with Jeffries. Please go ahead.
Ken Usdin: Thanks. Good morning. Just had a follow up on the Asset Services fee line. It was nice to see the 5% improvement sequentially. And I just wondered, last quarter you had mentioned some of that bulkier repricing and kind of onetime things. This quarter, you mentioned that there's a little bit of elevated activity. Just wondering from an outlook perspective, anything we should know, just about -- kind of the trajectory of onboarding new wins and we kind of do have a clear line of sight on any expected meaningful repricing this year? Thanks.
Thomas Gibbons: Emily, do you want to take it. 
Emily Portney: Sure. So, we did see a nice uptick in terms of assets servicing fees. They were up 5%, actually sequentially. And just, 50% of that is due to asset base -- asset levels and the remaining 50% is based on transaction volumes. And transaction volumes across asset servicing -- all of our businesses and asset servicing was up significantly, double digits in some cases quarter-on-quarter. As Todd alluded to, we do expect that volumes to moderate a bit in the second half. Having said that, we also feel that there's very strong fundamentals across the business, our pipeline is strong, the average size deals in the pipeline are bigger. Retention stats are very strong, and we're also making significant investments in the business that are resonating with clients.  In terms of the repricing. There's nothing really structural that that we observed repricing. The repricing that we did experience last quarter that was a bit lumpy was really -- totally tied to just a few large clients that happened to be going RFP at the same time. It's always been a pretty modest headwind for the business that we've been able to offset with new business retention, growth with our existing clients and further efficiency.
Ken Usdin: Got it. Thanks for that, Emily. And then just one more balance sheet question. In terms of Fed accommodation, the incremental deposits that flowed in and certainly seem to lend on your balance sheet? How are you just anticipating changes as we go forward with potential end to QE? And how do you think your balance sheet would act versus the more traditional regional banks in terms of the retention of the deposits that have flowed in? Thank you.
Emily Portney: Sure. So, ultimately, we think when -- we basically -- as the Fed increases reserves, we think roughly about 2% or so ends up on our balance sheet. It's actually hard to tell and depends very much on the economic backdrop.  As I did mention, we do think, a large portion of the deposits that we've seen, and the growth in those deposits, especially in the last two quarters is excess, so non-operating. And we do think that that would recede pretty quickly when interest rates start to normalize, and monetary policy starts to normalize. I don't know, Todd, if you have anything to add to that. 
Thomas Gibbons: Yeah. I think if you go back to previously the COVID event, which really led to a spike. We've seen something close to $100 million of balance increases. Some of that was intentional, as we built relationships and comes naturally with the growth in our businesses. But a significant amount of that was what we call fit into that excess definition.  So we'd have imagined probably, somewhere between $25 billion to $50 billion of that 100 billion increase would roll off.
Ken Usdin: Got it? Okay. Thank you.
Thomas Gibbons: Thanks Ken.
Operator: Our next question comes from the line of Jim Mitchell from Seaport Global Securities. Please go ahead.
Jim Mitchell: Hey, good morning. Maybe just, if I think about your guidance on NII, it does seem like the implication is that NII sort of stabilizing here. And I assume, that implies sort of securities yields are going to kind of hold in at current levels. So if we kind of assume a static balance sheet going forward, and I know that's not necessarily. But when I think about it, but if we assumed try to isolate what could be the inflection point? What level of rates -- I think you've indicated two to five-years’ important. You're not going to go further out than that. And we've had the five-year now at 83 basis points moving higher. Do we need to see that translate into the two to three-year? I mean, what level of rate structure should we start to see maybe yields going the other way?
Thomas Gibbons: Why don't I start Emily and then you can add? So I think really two key elements to it, Jim. Number one is the short end of the curve. So we've got a significant number of assets that are pricing off of LIBOR or short-term indices. And once again, this quarter, we saw for example, one-month LIBOR was down three basis points from its average in the fourth quarter and 2 basis points for three-months LIBOR.  So we got a -- that offset the benefit of the move on the longer part of the curve. But the steepening up to five-years and then we keep the duration around two and a half years so that that would mean there's going to be significant assets out there that roll off and get reinvestment is helpful, and it will slowly come into it. But it's basically been offset -- that benefit has been offset by what we saw on the short end of the curve.
Jim Mitchell: That make sense. I was just trying to think through, assuming short rates are pretty stable from here. What kind it gets -- what at the longer end really starts to help you?
Thomas Gibbons: Yeah. I mean five and 10 years, because what that does is it extends the duration of the mortgage-backed securities. So their yields pick up because the amortization of premium declines. And stuff -- and we're constantly reinvesting and stuff gets reinvested to maintain the duration that currently exists in the portfolio. It would go into higher level. So it would be helpful here.
Emily Portney: And Jim, we disclosed in the Q, just some sensitivities that might be helpful for you to realize that.
Jim Mitchell: I got it. I just trying to get a sense of what level of rates in the middle of the curve would be helpful, but we can talk about that offline. Thanks.
Thomas Gibbons: Thanks, Jim.
Operator: And our next question that comes from the line of Steven Chubak from Wolfe Research. Please go ahead.
Michael Anagnostakis: Hey, good morning. This is Michael Anagnostakis on for Steven. Just following up on the NII guide. And you gave us detail around where you're deploying some of that excess liquidity from here. And I appreciate the color on premium am as well. Maybe you can just provide some color around how much of that deployment is contemplated in the NII guide for the securities portfolio?
Emily Portney: Sure. I mean our securities portfolio is basically flat to last quarter. And we are marginally increasing our non-HQLA within the quarter. But, when I talked about the NIR guidance for the full year still being about 11% to 12%, where the rate curve -- it's just based on the forward curve, deposits basically remaining pretty much where they are if not coming down a bit and MBS prepayment speeds going down. So those are the key assumptions.
Michael Anagnostakis: Thank you for taking my questions. 
Thomas Gibbons: Thanks, Steven.
Operator: Our next question that comes from the line of Gerard Cassidy with RBC. Please go ahead.
Gerard Cassidy: Good morning, Todd. Good morning. Emily. Can you frame out for us when you think about your new year's event in New York, the number of new products that Bank of New York has introduced over the years? I think of like custody of non-traditional assets as one. When you think about the opportunities for this digital digitalization and the cryptocurrencies that you guys are working on, that you've already talked about. How big can this be? And again, comparing it to other new ventures that you've been involved with over the years at Bank of New York if you compare that?
Thomas Gibbons: Yeah. I think it's early to tell. I mean, if you think of all the noise that Bitcoin got, so it's still only about 10% of gold and gold is a custodized asset is not that important, frankly. So it's getting a lot of hype. I do think decentralized finance is coming. I do think fintechs are going to be an important players and I do think that we can position ourselves well and work with fintechs to build opportunities. I think you're going to see it in payments. I think you're going to see it -- you are going to see it in custody.  It's hard for me to say just how big of an opportunity that is at this point. It will grow. I think the more important thing is that we need to give investors choice. And so if they do want to mobilize assets faster, we need to be able to help them to do that. If they do want to be able to hold to non-traditional assets, just as they went into alternatives and other things, we need to be able to help them to do that in a way that eliminates a lot of the counterparty risk that currently exists, which is high. And also enables them to get reporting on a consolidated basis, and valuations and so forth, which is also critically important.  And so there are a number of ETFs coming out, that are crypto-related. There is obviously good underlying growth on a very, very small base. We think it's an important part of the full product capability. How big it ultimately comes, I think they become, I think it's just little early for me to really speculate.
Gerard Cassidy: I see. Okay, thank you. And the second you guys touched -- go ahead Emily. 
Emily Portney: Yeah. I was just going to add one little thing, which is it's as much about retention as it also is about new business. Our clients are demanding integrated capabilities across digital assets, as well as traditional securities and currencies.
Gerard Cassidy: Got it. Thank you. You guys have always told us and you talked about it again today, the leverage ratio is the binding constraint, not the CET1 ratio. You pointed Emily that they may dip down below 5.5%, but still well above the regulatory minimums, we understand that. At what point would the leverage ratio actually come into play where you would have to back away from your buybacks? Even though you have the CET1 ratio, not a problem. But at what point, do you say, we've got to slow it down, because the leverage ratio is falling too far down?  And as part of that, is the leverage ratio really linked to the QE, meaning that deposit growth? And should we get a tapering, then we should get some relief on your balance sheet growth, which maybe would help a leverage ratio as well?
Thomas Gibbons: So yeah. Let me start Emily, and then you can add. If you think about it, we've put a buffer on the leverage ratio for business as usual. Now this isn't for interest I think but for business as usual. And that buffer really reflects the potential for a spike in interest -- excuse me, a spike in deposits or a decline due to other comprehensive interest income based on the mark-to-market in the securities portfolio?  And so, frankly, to our routinely spike in deposits, and could it go up a little bit higher? Yeah, it may. But our view now is part of the reason for the buffer has already taken place. And as I indicated on one of the earlier questions, when things start to normalize, we probably have $50 billion of runoff in deposits. So that's an enormous amount, enormous impact on that ratio. And also the coverage from the OCI that has to be that high. So given the fact that we've already made this bike, it makes sense for us to go ahead and dip into our buffers. And then we said, you're going to a 5% probably is not an unreasonable thing in this environment.  If we are in an environment where we were a year ago, I'm not sure, I would say that.
Emily Portney: The only thing I might add is just, even if we were going in -- like it's hard to certainly be comfortable going towards 5%. But even there, you would need a considerable increase in deposits there from where we are today. We've got plenty of room.
Gerard Cassidy: Very good. Thank you.
Thomas Gibbons: Thanks Gerard.
Operator:  And our next question comes from the line of Robert Wildhack from Autonomous Research. Please go ahead.
Robert Wildhack: Good morning, guys. If we could go back to the cryptocurrency and digital asset space for a second. You're clearly taking a few steps forward there with the announcements you made this quarter. Is that because we think we've hit some kind of inflection point in that part of the market or is it just more of a natural evolution of your service?
Thomas Gibbons: Yeah. Rob, I would say it's more of a natural evolution. We're having deep discussions, working with clients in the institutional side. And we started to see this toward the end of last year and the beginning of this year. The institutional side was getting more and more interested in digital assets. And so, we started working with them for solutions across a broad part of our business.
Robert Wildhack: Okay, thanks.
Thomas Gibbons: Okay, Rob. Thank you.
Operator: And our final question comes from the line of Brian Kleinhanzl with KBW. Please go ahead.
Brian Kleinhanzl: Yep. Thanks. Two questions here. One on the assets held security exhibit on how the underlying pricing is with 50% for asset levels and 50% for transaction volume. Where do you want to take those percentages? So longer term, you have the mix that you're at? And this would be steady state from here? Are you trying to get more transaction volume basis as we think how pricing turns them off here?
Emily Portney: Do you want me to take that, Todd?
Thomas Gibbons: Sure.
Emily Portney: So I mean, the 50-50 split is just the nature of the business. So it's not like we are trying to move that in any direction. And for pretty much years, that's just really the dynamics of how we're price and asset servicing. About 50% of the revenue stream is based on asset levels, and about 50% or so is based on transaction costs. So it's pretty much the norm.
Brian Kleinhanzl: Okay. The second question, I mean, we looked at issuer services and clearing services and revenue drivers both been impacted by interest rates above and beyond. The money market fee waivers, is there any way to allocate what part of those revenues are kind of driven by interest rates as we think about asset sensitivity on a go forward basis? Thanks. 
Thomas Gibbons: Sure. So both of those businesses are significant deposit taking businesses or either we take it on balance sheet or off balance sheet and through sweeps into money market funds. And so the interest rate impact. It's a meaningful contribution to both of them. I don't think we broken out exactly what the split is, but it is a -- and it's a meaningful contribution obviously to the operating margins, because there's no expense associated with the NIR. What we've seen in Treasury Services is an intentional build in deposits over the past year as we build out those relationships. And it's very much related to the activity in the accounts, because it needs to be cash and accounts to make payments. And there's some frictional cash that tends to come with that.  Money market fee waivers a little less important there. But if you think about the corporate trust business, what issuers will do is they'll put cash a day or two in advance of payments that need to be made on issues that were the trustee and the paying agent. And typically, that's value that where we get a little of that value, or we sweep it into a money market fund. And so that's a meaningful contributor to that business. And that's where we're now seeing the kind of late stages impact of fee waivers. And that's why the issuer services business was down sequentially and year over year. But we don't break out to very specific numbers Brian. Operator, go ahead.
Operator: With that, that does conclude our question-and-answer session for today. I would now like to hand the call back over to Todd with any additional or closing remarks.
Thomas Gibbons: No. Thanks for all of your interest. And of course, any follow up questions you may reach out to Magda and our Investor Relations team. And look forward to talking to you all soon. Take care.
Emily Portney: Thank you.
Operator: Thank you. This does conclude today's conference and webcast. A replay of this conference call and webcast will be available on the BNY Mellon Investor Relations website at 2 o'clock PM Eastern Standard Time today. Have a great day. 